Operator: Good day, and thank you for standing by. Welcome to the Q1 2024 Materialise N.V. Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Harriet Fried of LHA. Please go ahead. 
Harriet Fried: Thank you, everyone, for joining us today for Materialise's quarterly conference call. With us on the call are, Brigitte de Vet, Chief Executive Officer; and Koen Berges, Chief Financial Officer. Today's call and webcast are being accompanied by a slide presentation that reviews Materialise's strategic, financial and operational performance for the first quarter of 2024. To access the slides, if you haven't already done so, please go to the Investor Relations section of the company's website at www.materialise.com. The earnings press release that was issued earlier today can also be found on that page. Before we get started, I'd like to remind you that management may make forward-looking statements regarding the company's plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive, dynamics and industry change. Any forward-looking statements, including those related to the company's future results and activities, represent management's estimates as of today and should not be relied upon as representing their estimates as of any subsequent date. 
 Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that could impact the company's future business or financial results can be found in the company's most recent annual report on Form 20-F filed with the SEC. 
 Finally, management will discuss certain non-IFRS measures on today's call. A reconciliation table is contained in the earnings release and at the end of the slide presentation. And now I would like to turn the call over to Brigitte de Vet. 
Brigitte de Vet-Veithen: Good morning, and good afternoon. Thank you, everyone, for joining us today. Looking at the agenda for our call on Slide 3. You will recall that in our last earnings call, I described my observations about the market dynamics and our strong position in this market, built on the foundation of the last 34 years. I also clearly described our priorities for 2024. Today, I will build on that theme and share with you key highlights of our team's performance in the first quarter 2024 as well as the progress made on our strategic priorities. After that, I'll pass the floor to Koen, who will go through our first quarter numbers in more detail. Finally, I will come back and explain what we expect the remaining months of 2024 to bring. And we've completed our prepared remarks, we'll be happy to respond to questions. Looking at our key results for Q1 2024, summarized on Page 4, you can see that we were able to deliver profitable results in line with our expectations. For the comparisons versus the first quarter of last year, [ later ] on this call, please bear in mind that the first quarter 2023 was a particularly strong quarter with record high revenues and high EBITDA supported by significant tailwinds mainly in our Medical and Manufacturing segments. 
 Over the first quarter of this year, our total revenue decreased slightly by 3.4% to EUR 63.6 million compared to the record first quarter 2023, that I just referred to. When compared to the first quarter of 2022, our consolidated revenue still grew by more than 20%. At the same time, our gross margin increased to 56.5% and from 55.9% over the same period last year. Adjusted EBIT amounted to EUR 2.7 million, representing 4.2% of revenue. Net profit amounted to EUR 3.6 million or EUR 0.06 per share, which is stable versus the very strong first quarter of 2003 -- 2023. Our net cash position at the end of Q1 2024 was EUR 69.2 million, an increase of EUR 6 million versus the beginning of the quarter. Koen will elaborate further on these results in his remarks later in this call. 
 Moving now to Slide 5. I am also very pleased that we made progress in our strategic priorities and achieved critical milestones, including the introduction of new technologies and the expansion into new markets and segments, to capture the growth opportunities in the market for mass personalization and in the market for [ Serial ] end-use parts and to ensure sustainable healthy growth in the near, mid and long term. In Medical, we managed to keep the momentum and grew further compared to an exceptional Q1 2023 that was already 33% higher than Q1 of 2022. We continue to drive adoption of personalized cases in our existing markets. And this is reflected in 2 elements. First, the growth in number of cases delivered to patients, in particular in the U.S. and Europe in our existing and new segments. We managed to expand into the Trauma segment with the first cases delivered into this segment from our U.S. manufacturing plant, which enabled us to deliver a shorter lead times. This is building a solid platform for further growth in 2024 and beyond. Second, we made progress with our new software solutions and in particular with Mimics Flow, a case management solution used to manage workflows for 3D labs in hospitals for which we have received the first order in this [indiscernible] only limited launch phase. We also achieved key milestones to break into new markets in the future. We received IDE approval for our Tracheal Splint program, which is part of our respiratory business line. And we got FDA and MDR clearance for our Software [indiscernible]. To offer planning services for transcatheter aortic valve replacements in our Cardio business line. 
 Moving to software. As mentioned in our last call, our focus is to capture the growth opportunities in the market for the manufacturing of end-use products. We launched key new products that add value for users of additive manufacturing in this segment. At aMace, we launched e-stage for Metal+, a software that optimizes data and build preparation for Laser Power Bed Fusion, using physics-based modeling to automate support structure generation that will also help make metal additive manufacturing more economically viable. 
 Laser Powder Bed Fusion is the leading segment for AM, accounting for over 52% of the industry's global revenue in 2022, it's is also one of the most complex technologies to use with many potential challenges. By automating support structure generation with e-stage for Metal+, users can reduce support volume up to 80%. They can simplify support removal, ease powder extraction and decreased build-plate machining after an effortless part removal. Automating support structure generation at the sweet spot of printability and required supports, saves time, material and post-processing costs. We also released an additional module on our OEM, QPC, quality process and control system. 
 Layer analysis, a module that allows to auto-detect and quantify defects in 2D layer data and map them to 3D models for early scrap detection and root cause analysis was released at Rapids last year. Process lab, a tool to trade process biometer and test lab results was announced at Formnext last year and we leased in the first quarter of this year to the market. 
 This QPC process lab enables customers to transform additive manufacturing process monitoring and quality data into actionable insights using AI and IoT connectivity in a secure, collaborative and open software system. We also made progress in shifting our business model to cloud and subscription-based agreements to better suit the market for end-use products. While this shift is negatively impacted -- impacting our Q1 software revenues, it prepares us for further scaling in the market for [ serial ] end-use products. In manufacturing, we focused on capturing growth in selected segments to drive revenue in 2024, even as market circumstances remain difficult for our 3D printing service business due to very weak prototyping demand. 
 Keeping in mind that the first quarter 2023 was a very strong quarter with 25% growth in revenue. I am pleased with the performance in the first quarter of this year and in particular, with the strong progress in our certified manufacturing business driven by Aerospace and Medtech. Both industries are strictly regulated in our ability to provide process documentation and historical process performance data enables us to drive growth in both segments. Koen will now take you through the detailed results by segment. 
Koen Berges: Thank you, Brigitte. Good morning or good afternoon to all of you on this call. I'll begin with a brief review of our consolidated revenue on Slide 6. As a reminder, please note that unless stated otherwise, all comparisons in this call are against our results for the first quarter of 2023, which as Brigitte already indicated, was an exceptionally strong quarter. 
 Now compared to this high baseline, revenue in the first quarter of 2024 decreased 3.4% to EUR 63.6 million. However, Materialise Medical continued on its growth path and increased its revenue by 8%. On the other hand, revenues at our Software segment were impacted by the accelerated transition towards a cloud-based subscription business model, and low prototyping demand had an unfavorable effect on our Manufacturing segment, resulting in revenue decreases of 8% and 11%, respectively.
 As you can see in the graph on the right side of the page, Materialise Medical accounted for 41%, Materialise Software for 16% and Materialise manufacturing for 43% of our total revenue over the first quarter of 2024. Deferred revenues related to software maintenance and license fees grew further in the first quarter of this year by EUR 0.5 million, bringing the total amount carried on our balance sheet to EUR 45.4 million.
 On Slide 7, you will see our consolidated adjusted EBIT and EBITDA numbers for the first quarter of this year. Consolidated adjusted EBIT ended at EUR 2.7 million compared to EUR 5 million for the same period of last year, representing a decrease of 47%. Our adjusted EBIT margin was 4.2% compared to 7.6% last year. Consolidated adjusted EBITDA for the first quarter amounted to EUR 8.1 million, decreasing from EUR 10.3 million last year.
 Our adjusted EBITDA margin reached 12.7% compared to 15.6%, the prior year. Now this decrease reflects partly the impact from continued investments in innovation to secure long-term profitability. We fully executed our planned R&D investments despite being confronted with less favorable market conditions.
 In Q1 of 2024, R&D spend corresponded to more than 16% of our total revenue. The decrease in adjusted EBIT and EBITDA is also partly due to the high reference point in the comparisons shown, being the exceptionally strong first quarter of 2023, which was impacted as set by one-off tailwinds in our business segments.
 Moving now to Slide 8. You will notice that the quarter's total revenue in our Materialise Medical segment increased by almost 8%, building further on an already strong revenue growth in 2023. This solid growth was generated by both medical software and by revenue coming from medical devices sales, which grew respectively by 6% and 9%.
 Adjusted EBITDA grew further to EUR 7.9 million with an adjusted EBITDA margin that remained stable at 30.3%. Slide 9 summarizes the results of our Materialise Software segments. In the first quarter, software revenue decreased by 8% to EUR 10.4 million. However, recurring revenue from software maintenance and license sales, including CAM, increased by 4%.
 On the other hand, nonrecurrent revenue further decreased by 31% driven by the accelerated transition from perpetual license sales to cloud and subscription-based agreements but also by the more difficult market conditions. Accordingly, adjusted EBITDA decreased to EUR 1.1 million, representing an adjusted EBITDA margin of 10.4%.
 Now let's turn to Slide 10 for an overview of the performance of our Materialise Manufacturing segment. In the first quarter, Manufacturing continued to operate in a difficult market environments compared to a strong Q1 2023 and as a result of low prototyping demand, revenue decreased by 11% to EUR 27 million. On the other hand, we noticed promising further growth of our certified manufacturing business, in particular, in Medtech and aerospace market segments. Adjusted EBITDA dropped to EUR 1.5 million and an adjusted EBITDA margin of 5.7%.
 Slide 11 provides the highlights of our consolidated income statement for the first quarter of this year. As you will notice, we increased our gross profit margin by 60 basis points to 56.5% compared to 55.9% in Q1 of 2023, which compensated part of the lower revenue. Our operating expenses in the quarter increased by EUR 1.8 million or 5.5% in aggregate with the biggest increase coming from the higher R&D spend. Net operating income in the quarter was positive with EUR 0.8 million compared to [ EUR 0.5 million ] last year. As a result of these elements, the group's operating result in the quarter was EUR 2.6 million compared to EUR 5 million in last year's period.
 In Q1, net financial income amounted to EUR 1.5 million, including a positive currency exchange result of EUR 0.7 million, interest income of EUR 1.2 million from our cash reserves and interest expense on our financial debt of EUR 0.4 million. Income tax expense in the quarter amounted to EUR 0.5 million compared to EUR 0.7 million last year. As a result, net profit for the first quarter was positive at EUR 3.6 million, representing EUR 0.06 per share coming very close to the net profit of EUR 3.7 million or also EUR 0.06 per share for the corresponding 2023 period.
 Now please turn to Slide 12 for a recap of balance sheet and cash flow highlights. In the first quarter of this year, our balance sheet remained strong. Our cash reserve increased to EUR 129 million, by the end of the quarter. Loan and lease repayments reduced our gross debt to below EUR 60 million resulting net cash position at the end of the quarter was EUR 69 million, an improvement by EUR 6 million compared to the position at the beginning of this year.
 Our trade receivables and trade payables positions both decreased while inventories remained stable. The total deferred income position increased further to EUR 52 million, out of which EUR 45 million was related to deferred revenue from software licenses and maintenance contracts as already mentioned. As you can see from the graph on the right of the page, cash flow from operating activities for the first quarter was high and amounted to EUR 10 million while capital expenditures for the quarter amounted to EUR 2.8 million, all of which were internally financed. And with that, I'd like to hand the call over to Brigitte again. 
Brigitte de Vet-Veithen: Thank you, Koen. Let's turn to Page 13. I'll conclude my remarks with a discussion of our full year 2024 guidance. The fundamentals of our 3 business segments are strong, and we therefore remain confident that we are well positioned to deliver on our growth objectives. We continue to expect to report consolidated revenue for the full year 2024 within the EUR 265 million to EUR 275 million range we communicated in our prior earnings call.
 We are also maintaining our adjusted EBIT guidance of EUR 11 million to EUR 14 million for the fiscal year. This concludes our prepared remarks. Operator, we're now ready to open the call to questions. 
Operator: [Operator Instructions] Our first question comes from the line of Alexander Craeymeersch of Kepler Cheuvreux. 
Alexander Craeymeersch: A couple of questions from Kepler Cheuvreux side. I'm a bit surprised at how many times you stressed that Q1 2023 was exceptional, especially in manufacturing. So that was definitely not as stressed as last year. So could you maybe elaborate on what was so exceptional?
 And then are you also indicating to us the market, that these are also not realistic numbers in the next years in Manufacturing? And then second question would be, you also stressed that the Medical segment was exceptionally strong in Q1 2023, yet you were able to book better results than last year. So why was one exceptional different than the other exceptional?
 And then the third question would be on the low CapEx levels. You're building the ACTech plant that's coming up live in H2 2024. Why was there not a lot of CapEx coming into the cash flow statement. I was just wondering why that was exactly whether those projects are either being delayed or -- and then maybe on the ACTech following up on that specific topic. I was just wondering with the ACTech plant coming up, whether you're not feeling any overcapacity considering that the volumes of [ end ] manufacturing are trending lower. I'll keep it there, wait for my colleagues then and then maybe ask some questions again afterwards. 
Brigitte de Vet-Veithen: Yes. Thanks, Alexander, for the questions and for joining the call. So I'll really start answering, and then I'll let Koen pitch in for the CapEx question. So your first question on exceptional manufacturing results. So last year -- well, essentially, your question being, are these structural or not and what can we expect for the future? If we look at what happened in the first quarter last year in manufacturing, I see a structural part in a nonstructural part. And let me explain what I mean.
 So the results last year were driven -- the exceptional results last year were driven by 2 main factors, One is that our ACTech business had very strong revenues at that point in time. And over the last couple of quarters, we have noticed that we have capacity constrained at ACTech, which leads to the revenues being lower than what we think or what we strongly believe is possible in the market.
 And with the capacity extension that we are now planning, we believe that, that gives us a road towards further increase in growth of those revenues going forward. So I think there's a structural element at ACTech that gives us a path towards future growth in the Manufacturing segment.
 The second driver of that exceptional result last year is non -- not so structural, I would say, and which is why we call it exceptional. What was this? You might know that as part of our services within the manufacturing unit, we deliver consulting services to customers and consulting services as such have the beauty of -- when we have these contracts that they come at a very healthy profitability for us.
 But the nature of those consulting services is that you don't necessarily have a recurring element because once the consulting project is over, you start from scratch. And we had a very strong revenue component in our first quarter last year on that business line specifically. And that's, honestly, in all transparency, I'm not confident that we will be able to repeat that every single quarter going forward.
 So the answer on manufacturing is a bit mixed. But yes, there is a structural element there that gives us a path towards future growth as soon as we have resolved the capacity constrained at ACTech. Switching into Medical, which was your second question. So yes, we had an exceptional quarter last year, essentially because we were able to take -- for a specific period of time, we were take on -- able to take on business from another part in the market and wasn't able to deliver for a certain time and we benefited from that in the last -- in the first quarter last year. Now despite that exceptional gross number of 33%, we delivered even stronger growth on top of that this year. And that is -- I referred to it in my remarks, we have been able to break into this Trauma segment, which is an additional market segment for us, which had large potential, and we have proven this year in the first quarter that we can actually access that potential with the short lead times that we can offer.
 And again, that gives us a path to continued further growth on that baseline that we have seen. And that's one of the drivers of that additional growth despite a very strong first quarter last year. And then I'll hand it over to Koen for the CapEx question regarding ACTech. 
Koen Berges: Yes. So I think, I can confirm, Alexander, that the investment program is in full execution, and this is still fully on track to have a start-up of the plant later on in this year, as we've indicated before. Now the reason why the investment is limited in the cash flow statement of the first quarter is because we include, of course, only the cash component of CapEx investments in our cash flow statement. And you will see that there is a ramp-up of investments that are being made, but where the cash out has not been made to the suppliers and will typically come or mainly come in the second quarter and the third quarter of this year. That is because at that point, also the machinery will be installed in the factory and will be started up and the way we have negotiated most of the contracts with these suppliers is that the bulk of the payment is delivery of the machinery, which is going to take place -- is taking place in the coming weeks.
 And of course, then the results of the payment term to be applied. So you will see a different picture for sure in the second quarter and partly also the third quarter, I would, the deferred -- the late payments related to ACTech investments. 
Alexander Craeymeersch: Could you maybe indicate there how much we need to foresee in terms of CapEx, maybe just for the full year, but then maybe for Q2 and Q3, specifically. 
Koen Berges: I think we've always indicated the total order of magnitude of the investment is around EUR 30 million and upwards, and it will depend -- will come in several stages. But that has been spread over a number of years. So I think I don't have the exact number.
 It will also depend on the exact timing of what will be delivered when. But I think you can expect our free cash flow, as I've indicated also in the last call, might be negative in the second quarter driven by this nonrecurring CapEx. 
Operator: Our next question comes from the line of Jacob Stephan of Lake Street. 
Jacob Stephan: Maybe, could you just kind of give us an indication in the manufacturing segment, how have project volumes been trending? I know you said prototyping has been weak, but maybe just kind of overall project size, if you can give us a sense for that. 
Brigitte de Vet-Veithen: Jacob, thanks for the question. And when you say project size, you refer to an indication of what our average type of projects is in terms of the revenue driven by? 
Jacob Stephan: Yes. 
Brigitte de Vet-Veithen: Yes. And it's a hard one to say because the Manufacturing segment as such is composed of so many different components. I think in general, when we look at our core manufacturing segments, so the core 3D printing services that we offer, what we have indicated is that we want to make and we see the shift from prototyping to certified manufacturing. And in general, the certified manufacturing projects are slightly larger than our prototyping projects. Now I can't give you an exact number but that is certainly a shift that we see and that we will continue to see going forward. Now if you then put in the mix ACTech and the other business lines that we have, it's a very different structure in terms of the order size, et cetera. So I can't give you an exact number on your question, honestly. 
Jacob Stephan: Okay. You said that you shipped the first products in Q1 here from the Michigan facility. Is that correct? 
Harriet Fried: In the Medical -- well, so no, so we shipped the first products from our Michigan [ fast ] facility last year in August. And we started ramping up that facility. So we were up and running in 2023. What we now have done in the first quarter is access the trauma market that I was talking about. And those are products that require very short lead times. And we have done that out of our U.S. manufacturing facility now, which has enabled us to get into the U.S. trauma market. That's essentially a type of a new product line in that facility, which gives access to that large market segment. 
Jacob Stephan: Okay. And maybe you could just kind of give us a sense on how things are trending as we are a month into kind of Q2 here. But maybe just help us kind of think about where you're seeing the most opportunity in that Trauma space? 
Brigitte de Vet-Veithen: Yes. So I think the Trauma opportunity remains a large one for the rest of the year in the medical business. The way you should look at that is probably to say that in the first quarter, we were cautious because we first wanted to make sure that we were able to deliver in those short time lines. We are seeing confirmation that we are able to bring that offering successfully to the market.
 So that definitely will stay a growth driver for the remainder of the year and beyond. And that is for that particular Trauma segment. I think the other one that I referred to in my remarks, as a growth driver is an important one, too, and it's on the -- more on the software side with more and more personalization being done in the market.
 The parties bringing personalized cases to the market will face more volume. And with that needs system that helps them stay organized and do that in an efficient and effective way. And that's what our Mimics Flow product does. So despite the fact that we're still in a limited launch, we've seen traction there in the first quarter. And I would expect that as well in 2024 and beyond to stay, a nice opportunity for us for us [ particularly in ] the Medical segment. 
Operator: [Operator Instructions] Our next question comes from the line of Kieran McCabe of Cantor Fitzgerald. 
Unknown Analyst: I'm going for Troy Jensen. My first question was maybe you can -- R&D was about 16% of revenue and continue to make investments for sustainable growth. I was wondering maybe you can set some details or color on sort of on the strategy plan for continued investments in R&D and sort of the time line of payoffs of those investments, where do we kind of see R&D going for the year and into next year and sort of the benefits from those investments, the timing of that? 
Brigitte de Vet-Veithen: Yes. So let me maybe give you a little bit of color on our high 16% R&D spending. So the R&D efforts that we're doing at this point in time are really going into a number of our strategic priorities that I also refer to in my remarks. The first one is that on the medical -- in the Medical segment, we still have significant untapped market opportunities where we have taken first steps, but we do believe that there is a significant market potential.
 I'm talking about markets like the respiratory field, the cardiovascular or structural heart field. Those are markets that are still relatively new for us and where there's untapped potential of an R&D efforts going into those markets. The second main strategic priority is on the software side for our software units.
 Specifically, I talked to the priority that we have to tap into the growth that is in the market for -- in the area of manufacturing of end-use products. And that is where in terms of our product portfolio, we still make significant investments to bring appropriate offerings into the market to tap into that growth potential. I think that gives you a bit of color as to what are the -- what type of R&D investments are driving, to a large extent, the 16% that we talk about. Now to your question, what is our view on those investments going forward? The new markets of that we want to tap into, we will certainly not be at the end of our efforts there in the next couple of quarters.
 I think there is still significant R&D investments going forward that we are planning to do. We see those untapped markets and market expansions. And as a market leader, we want to take the advantage of being one of the first in those market segments and take the lead there. And therefore, I would expect our R&D spending to remain at least in the area of what we are spending today. 
Unknown Analyst: All right. And my other question was, I think you recently quoted an article talking about replicating some of the success that the Medical segment has had trying to replicate that in the other segments. I was wondering if you could provide any kind of details on the strategy or practices that you're looking to apply to the other segments to really kind of replicate that success that you've seen in the medical? 
Brigitte de Vet-Veithen: Yes. So I think the -- there's a couple of strategies or reflections that we've seen have led to success in the medical market that we'll seek to apply in the other markets as well. I mean, the additive manufacturing is a growth segment still and selecting carefully where we play and how we play with a deliberate market strategy is -- in setting continuously setting the right priorities, focusing our efforts there where we see we have the price changes of a return on our investment.
 That's what we've done in the medical market, making clear choices about what are the markets we want to serve and how do we want to serve them and focus. I think that is certainly an effort -- obviously a reflection that we want to apply to other markets as well. 
Operator: [Operator Instructions] Our next question comes from the line of Alexander Craeymeersch of Kepler Cheuvreux. 
Alexander Craeymeersch: Just maybe one more question on the CO-AM platform. So that was back in time, a significant investment also on the back of an acquisition. So could you maybe just give us an indication where that stands today, how that -- the demand is moving? Were you able to increase the prices? Because if I look at the Q1 where it was not exceptionally as far as I understood it in 2023.
 So I just see a 8% decrease in sales. So yes, I see there that the subscription fees rose by 4%. Does that then imply that basically the volumes are down? Or how do I need to see this? 
Brigitte de Vet-Veithen: No, I don't think you can conclude that from the numbers. So let me talk to CO-AM and the in the strategic importance of that. And you're absolutely right, we have invested a lot in CO-AM in the past, and it is an absolutely critical driver of our growth going forward. Why? Because I'm -- I talked a lot about that shift in the market from prototyping to end-use products. And that's the shift that we want to tap into with our software unit. And CO-AM plays a major role in that because CO-AM is one of the vehicles that we can use to cater the needs of those customers that are additively manufacturing end-use products.
 And that needs to scale, they need offerings and systems that help them to do this efficiently and effectively and CO-AM is the vehicle to do that. In my remarks, I mentioned one of the functionalities that we brought out now in the first quarter that is based on CO-AM and list the QPC modules to the quality and process control functionality, which does exactly that. It helps customers that really want to scale in the production of end-use products and then they need to have better tools to monitor to quality, monitor their process and capture that data to scale efficiently and provide the Aero products at an appropriate market -- I don't know, the appropriate cost to their markets. 
 So CO-AM stays an absolutely critical element in our strategy to tap into that market where we see growth and it is the perfect vehicle. Now we did an acquisition to at least get the basis of this vehicle in-house, but obviously, we continue to develop further on that vehicle. And on that basis, which again is what is reflected in our 16% R&D spend. Does that answer your question? 
Alexander Craeymeersch: But -- yes, but why are the sales down? Why are clients less interested in your software -- but at least that's the impression that the numbers in Medical [indiscernible]. 
Koen Berges: No. Maybe what I can add to it, Alexander is if you look at the number at a 4% increase that we've mentioned for recurring revenue that includes far more than just only our CO-AM platform, there is growth mainly on 2 components within recurring revenue that is first on CO-AM. Secondly, also on the switch to annual licenses. On the other hand, we see a decline, of course, if we do the switch from perpetual to annual licenses with regards to maintenance contracts. And maintenance contracts go down. And historically, there has been a large bulk. So when we do the transition from perpetual to annual, that component goes down. So if you take the bulk of the 3, then overall, there is still an increase of about 4%, but there is various components within that. And also in the first quarter, we can confirm that CO-AM continued to grow even if the project has more functionality is being added to it. 
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn it back to Brigitte de Vet, CEO, for closing remarks. 
Brigitte de Vet-Veithen: Well, thanks again for joining us today. We look forward to continuing our dialogue with all of you through investor conferences or in one-on-one virtual meetings or calls. And as you know, you can always reach out to us if you have any questions or you need further clarification. Thank you, and goodbye for now. 
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.